Operator: Good afternoon. My name is Tanya, and I will be your conference operator today. At this time, I would like to welcome everyone to Pursuit's 2024 Fourth Quarter and Full Year Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Carrie Long, you may begin the conference.
Carrie Long: Good afternoon and thank you for joining us for Pursuit's 2024 Fourth Quarter and Full Year Earnings Conference Call. Our earnings presentation, which we will reference during the call, is available on the Investors section of our website. During the call, you'll hear from David Berry, our President and CEO; Ellen Ingersoll, our Chief Financial Officer; and Bo Heitz, who will be succeeding Ellen as our Chief Financial Officer once we have filed our 2024 Form 10-K. Before I turn the call over to David, I would like to draw your attention to Pages 2 and 3 of our presentation, which contain important disclosures regarding non GAAP measures and forward looking statements that we will provide during the call. And now, I'll turn it over to David, who will start on page four of our presentation.
David Barry: Thanks, Carrie, and thank you all for joining us for our first earnings call as standalone Pursuit. This is a very exciting time for our company, our team members and our shareholders. We completed the much anticipated sale of GES on December 31st and entered 2025 with a new corporate name, the new ticker symbol, and most importantly, a balance sheet that is optimized for our accelerated growth, as a pure play attractions and hospitality company. Our team demonstrated outstanding operational execution in 2024, providing strongest experiences across our business, completing key strategic refresh build buy growth investments and delivering solid financial performance. We opened a new world class FlyOver attraction in Chicago. We expanded the experience at Sky Lagoon in Iceland. We completed three strategic tuck-in acquisitions, and we responded admirably as a team to the Jasper wildfire. We're entering 2025 in a position of strength, with the expected post-fire return of leisure travel to Jasper, our unrelenting focus on delivering exceptional guest experiences, combined with a strong balance sheet to fund high return refresh build by growth investments, we expect to deliver double-digits growth in revenue and adjusted EBITDA in 2025. So, before we dive into our financial results, I'll quickly review the transformative sale of GES and how we're deploying capital with our reset balance sheet into refresh build buy investments to enhance shareholder value. So, let's move to Page 6. The sale of GES to Truelink Capital for $535 million did several important things for our company. It transformed us from our legacy conglomerate structure into a standalone, high growth, high margin attractions and hospitality leader. We now have a singular strategic focus on Pursuit success. The sale also allowed us to eliminate high cost debt and establish substantial liquidity to support the acceleration of our Refresh, Build, Buy growth strategy. And with our strong stock performance, we were able to convert the shares of our preferred stock into common stock on December 31st. With low leverage and a new $200 million undrawn revolver, our balance sheet is now optimized for growth. As shown on Page 7, Pursuit already has the scale and financial foundation to drive sustainable growth as a standalone company. We have an extraordinary collection of 15 world-class, point-of-interest sightseeing attractions and 28 distinctive lodges located in iconic, unforgettable and inspiring places around the world. Our experiences appeal to people of all ages and skill levels, with no athletic ability required. All you need to enjoy Pursuit is to love a beautiful view. Today, we operate in three countries, The United States, Canada, and Iceland, with about 4,000 amazing and dedicated team members. We're focused on delivering unique and authentic experiences around the world that delight our guests every day. We've built a leadership position in markets with high barriers to entry, strong perennial demand and significant market tailwinds. And we have exciting opportunities to continue growing our collections of incredible experiences through our proven growth investment strategy. So, let's talk about that powerful strategy on Page 8. Refresh, Build, Buy is our roadmap for smart capital deployment and delivering accelerated growth into the future. This strategy has produced some incredible results over the past decade. We've more than tripled our revenue at a 14% compound annual growth rate from 2015 to 2024, while realizing strong returns on our investments. We've significantly increased our annual attraction visitation to about $3.8 million and lodging rooms sold to about $380,000 while continuing to elevate guest satisfaction across Pursuit. Refresh is about improving our existing assets, where we see opportunities to improve the guest and team member experience and maximize returns. Build is about creating new and amazing experiences that are connected to iconic locations and bring new revenue streams with economies of scale and scope. And buy is about strategically acquiring one of a kind businesses, bringing them onto the Pursuit platform and improving their financial and guest performance. A great refreshed example in 2024 was the expansion of our world class Sky Lagoon attraction. Here, we saw an opportunity to meet the robust demand for the Lagoon's signature ritual experience that was far exceeding our existing capacity. As a result of the expansion, Sky Lagoon is now welcoming more visitors at a higher effective ticket price with its up-scaled offering. We're also proud to show that Sky Lagoon was named the best Icelandic brand in 2024 by Brandeier, reflecting our commitment to honoring the place we operate in and creating a breathtaking experience deeply rooted in Icelandic tradition. On the build front, we opened a new flyover attraction at Chicago's famous Navy Pier Last March. This thrilling attraction was recently ranked number three on USA Today's list of the 10 best new attractions of the year for 2024. And during the fourth quarter, we completed three strategic tuck-in acquisitions to expand our collections, and unlock future growth levers in our iconic locations. So, let's go to Page nine for highlights of these acquisitions. In early November, we acquired Eddie's Cafe and Mercantile and the Apgar Lookout Retreat property, which offers food and beverage, retail merchandise, and elevated overnight accommodations. And we quickly followed that with the acquisition of Montana House, a retail location with deep historic connection to the Apgar community. These two acquisitions expand our existing presence in Apgar Village, which is located inside the west entrance to Glacier National Park, bordering McDonald Creek and the shores of Lake McDonald. These two acquisitions have great strategic value. Firstly, they're situated on rare, privately-owned land within Glacier National Park, which provides a very strong moat. Secondly, they're in an area of strong perennial demand with approximately a million visitors passing through Apgar along the renowned Going-to-the-Sun Road as they explore Glacier National Park. This means we have a big opportunity to welcome those park visitors, as our guests. Thirdly, they operate adjacent to our existing 48 room property in Apgar, which brings operational and cross-sell synergies. And finally, the combination of these properties with our existing lodging property in Apgar, gives us a unique opportunity to re-imagine and refresh our collective experiences, in this special in holding in the coming years. The third tuck-in acquisition we completed in 2024 was the Jasper SkyTram. We're super excited to add this well established and popular sightseeing aerial ropeway attraction to our Banff Jasper collection. The tram is located inside Jasper National Park and has a renewable long-term Parks Canada lease with nearly 30 years remaining. This is a real jewel box of an attraction with spectacular views, a terrific team led by Todd Noble, and a great location just moments away from Downtown Jasper. The SkyTram is a powerful refresh opportunity in the near future and will deliver an outstanding guest performance for years to come. Moving on to page 10, let's talk about what's next for our Refresh, Build, Buy strategy? We have a proven track record of adding value through investments in high returning refresh and build projects. In total, we've identified more than $200 million of refresh and build investments that we believe, we can execute over the next five years. These opportunities span more than 20 projects, at already well-instrumented and high-performing businesses within our existing collections. These investments will improve and enhance the guest experience. One of the projects already underway is the multi-year transformational refresh of The Woodland Wing of our Forest Park Hotel in Jasper. Page 10 of our presentation provides a view of the dramatic before and after transformation of the property. We're elevating the Woodland Wing to the same level as the successful Alpine Wing, which opened in 2022. With a dramatically improved guest experience comes higher levels of guest satisfaction, which in turn garner higher room rates and occupancy. Investments in our hotel properties increase demand from our guests, allowing us to highlight and drive incremental visitation to our nearby attractions. Refresh and build investments are important growth levers for Pursuit. We have the ability to speed them up, or slow them down depending on our level of acquisition investment happening at the same time. On the acquisition front, we've worked hard to maintain an active pipeline of experiences that are a great strategic fit for our platform, both in existing geographies and in new iconic locations. And we're pursuing these opportunities with vigor now that we have the financial capacity to transact for the right iconic location experience. And now, I'll ask Ellen to review our strong financial position and consolidated financial results.
Ellen Ingersoll: Thanks, David. I'll start on Page 12 with our balance sheet highlights. As David mentioned earlier, we are entering 2025 with a dramatically transformed balance sheet that puts Pursuit in a strong position to grow. We've received $410 million of net cash proceeds from the sale of GES, which we utilized to fully repay both our Term Loan B balance of $318 million and our revolver balance of $75 million. Additionally, on December 31st, we affected the conversion of our 5.5% convertible Series A preferred stock into approximately 6.7 million shares of common stock. The elimination of our high cost Term Loan B debt and the preferred stock will save us approximately $40 million annually. We ended 2024 with a net leverage ratio of approximately zero. Our remaining debt balance was $73.6 million, which includes financing lease obligations and term loan debt at non wholly-owned subsidiaries. Our cash balance was $49.7 million at the end of the year. And on January 3rd, we entered into a new credit agreement with a $200 million revolver, giving us pro forma total liquidity of $249.7 million. As a reminder, the GES net cash proceeds reflect adjustments for net working capital and debt and debt like items at GES, which are subject to adjustments as well as certain transaction expenses paid at closing. And in addition to the proceeds we received at closing, we will receive another $25 million of proceeds at the end of 2025. Next, on Page 13, I will walk through our income statement highlights. Net income attributable to Pursuit was $368.5 million for the full year and $315.7 million for the fourth quarter. These figures included a $421.9 million pre-tax gain on the sale of GES. The gain along with all of GES's operational results have been classified as discontinued operations. Our net loss from continuing operations attributable to Pursuit was $57.1 million for the full year and $65.1 million for the fourth quarter. These continuing operations figures include some unusual items, that I'd like to quickly call out. First, our impairment charges of $47.6 million in the full year and $41.5 million in the quarter. The fourth quarter charge includes a $27.5 million asset write down related to FlyOver Las Vegas and a $14 million goodwill write off related to the FlyOver collection. These impairments were the result of downward revisions to our growth expectations for FlyOver in light of the slower-than-expected ramping we have experienced, particularly at the Las Vegas location. Second, our restructuring charges of $3.2 million in the full year and fourth quarter. These related to severance accruals in connection with executive leadership transitions, as we transform from a holding company structure to a single operating business. And third is a $2.1 million expense related to our charitable pledge to support Jasper's recovery and long-term growth following last summer's wildfires with a total donation of CAD 3 million. We are deeply committed to the communities we operate in and are happy provide some financial support, alongside other Jasper businesses to high impact recovery projects, local businesses and community programs aimed at building long-term success for Jasper and its residents. Excluding those items as well as certain other items that are detailed in our non-GAAP reconciliations, our adjusted net income was $3.7 million for the full year and a loss of $21.8 million for the seasonally-slow fourth quarter. Our consolidated adjusted EBITDA was $77.1 million for the full year and negative $11.2 million for the fourth quarter. I want to point out that, consolidated adjusted EBITDA includes results from Pursuit as a discrete business unit within the former Viad Holding Company structure and the former Viad corporate activities expenses that were not allocated to the legacy Pursuit segment or GES. In our earnings presentation and press release, we are referring to these, as the legacy Pursuit segment and legacy corporate, respectively, and providing disclosures to help bridge from our historical reporting to our current reporting, with GES classified as a discontinued operation. Following the GES sale, we merged our legacy corporate functions with our legacy Pursuit segment to better support our new single business structure. And now, I'll hand the call over to Bo to cover Pursuit's 2024 financial performance in more detail as well as our outlook for 2025.
Bo Heitz: Thanks, Ellen. This is an exciting time to be joining the Pursuit team. The company is in a great position to deliver strong performance and accelerated growth through value enhancing investments. So let's take a quick look at our 2024 fourth quarter financial performance on Page 14. We delivered revenue of $45.8 million which was approximately 9% year-over-year on an absolute basis and 15% year-over-year on adjusting to exclude our Jasper properties, which experienced some trailing impacts from the wildfire that occurred during the third quarter. This growth was driven largely by attractions ticket revenue growth with the addition of FlyOver Chicago, the expansion of Sky Lagoon, and continued strong performance from our top rated Banff Gondola. In Jasper, all of our hotels were fully open by the end of the quarter. We are pleased to see leisure guests returning, with a guest mix that is quickly returning to normal levels. Our fourth quarter adjusted EBITDA improved modestly to negative $11.2 million, which reflects the seasonally-slower time of the year for our business. I'll also note that, our EBITDA figure is inclusive of legacy Viad corporate costs, which were not historically presented in Pursuit's segment EBITDA. Our full year results were also strong as shown on Page 15. Revenue grew to $366.5 million, up 5% year-over-year, more than overcoming the impact of the Jasper wildfire. This strong performance came from a combination of growth investments like FlyOver Chicago and Sky Lagoon, robust demand for our iconic locations and inspiring experiences like the Banff Gondola, and great execution by our team who remains nimble and guest focused throughout the year. As illustrated on this page, the Jasper wildfire impacted our revenue by approximately $23 million and adjusted EBITDA across our Jasper properties was down approximately $15 million year-over-year in the second half of 2024. Most of the impact hit in the third quarter with only minor trailing effects into the fourth quarter. Our team did an incredible job responding to the fire and maximizing growth elsewhere to hold our full year adjusted EBITDA nearly in line with the prior year. Now let's look at our full year attractions performance on Page 16. Full year traction ticket revenue was $162 million, growing 13% year-over-year on a 6% increase in visitors and higher effective ticket prices. When adjusting to remove Jasper attractions from the third and fourth quarters, ticket revenue grew 21% year-over-year. Our FlyOver Chicago attraction, which opened on March 1st, welcomed approximately 344,000 visitors during 2024 and received great guest reviews. The completion of Sky Lagoon's expansion in August also bolstered revenue growth, with a year-over-year ticket revenue increase of nearly 30% during the four months following completion of the expansion. And our Banff Gondola attraction continues to deliver standout performance with strong visitation. It remains a must-do experience with a number one rating on TripAdvisor for things to do in Banff and one of the top rated restaurants across all of Canada. Next, let's switch to hospitality performance on Page 17. Overall room revenue decreased $4 million versus 2023. When excluding our Jasper properties from the third and fourth quarters, a strong growth in room revenue of approximately 8% year-over-year with all geographies outside of Jasper delivering growth. Same-store RevPAR, which is adjusted for Jasper, grew 9% year-over-year, as we captured higher ADRs and maintained strong occupancy levels. Page 18 provides a view of our strong room booking pace for 2025. While we are still early in the year, our Canadian and U.S. lodging properties are pacing essentially in line with the same time last year. The charts on this page show our confirmed room bookings. In addition to this, we have strong demand from our travel trade partners this year, which is not fully reflected in these numbers. Our travel trade partners hold inventory with strict release dates, generally 90 to 120 days out. Unsold tour and travel inventory gets released and is immediately available to FIT, consumer direct and OTA channels. We have a proven track record of managing inventory to maximize both capacity and rate in peak season. This pacing supports our view that, we will see strong perennial demand across our iconic locations this year with a return to more normal levels of barroom revenue across our Jasper properties. Let's turn to our 2025 outlook on Page 19. We expect to deliver double-digits growth in full year revenue and adjusted EBITDA. Our adjusted EBITDA guidance range of $98 million to $108 million, reflects an increase of $21 million to $31 million from 2024. This growth anticipates a meaningful tailwind for us in Jasper, which remains an important itinerary inclusion for travel trade and other long-haul travelers visiting the Canadian Rockies. With plenty of beautiful scenery in the park to explore and market compression from a reduced hotel bed base, we expect to recover, if not exceed, the $15 million of EBITDA that was lost in 2024 due to the wildfire. We also expect our recent tuck-in acquisitions to add approximately $5 million to $7 million in adjusted EBITDA during 2025, with additional growth in future years, as we drive benefits through the Pursuit platform and make future refresh investments to maximize returns. From a macro perspective, our guidance assumes an exchange rate of $0.69 for each Canadian dollar, which is lower than the 2024 rate. The EBITDA impact of translating our Canadian results into U.S. dollars at that lower rate is approximately $7 million. We continue to see consumers prioritizing experiences over things and seeking out authenticity. This plays well into exactly what Pursuit delivers, authentic experiences in iconic locations. We are well-positioned for strong growth in 2025 with the expected return of leisure travel to Jasper, our unrelenting focus on delivering exceptional guest experiences and a strong balance sheet to fund high return, Refresh, Build, Buy growth investments. And with that, I'll turn it back to David.
David Barry: Thanks, Bo. We wouldn't be here today without a lot of energy and effort from team members across the company. So let me take this moment just to say thank you to my colleagues at all levels of Pursuit for bringing their best every day and, in turn, creating exceptional experiences for our guests. And I especially want to thank Ellen for her invaluable contributions over the past 23 years. She has guided us through thick and thin in some of the most transformative evolutions in our company's history. We're very grateful for her support, and we wish her the very best. As Ellen leaves us, we're very excited to have Bo on the team as our financial leader into the future, as we work to capitalize on our substantial growth opportunities. And finally, thank you to our shareholders for your support in Pursuit's exciting growth story. We're just getting started. Now let's open it up for questions.
Operator: [Operator Instructions] The first question comes from Alex Fuhrman with Craig-Hallum. You may proceed.
Alex Fuhrman: Hi, guys. Thanks very much for taking my question and congratulations to all of you on all of the milestones that you achieved last year with the sale of GES and the rebirth of Pursuit, as a new company this year. David, I wanted to ask about the CapEx projection for this year. You've talked for a while, going back to last year about having $200 million of projects within your existing footprint that you're hoping to complete within the next five years. And sure enough, your growth CapEx guidance for this year is almost exactly a fifth of that at $40 million. My question is why not get more aggressive with those $200 million in projects, given that your revolver is undrawn, you have enough liquidity in theory to tackle all of that in just a year or two. Just curious your thoughts on that.
David Barry: Thank you, Alex. A couple of things I would say. One would be, you have visibility to our view to maintenance capital, but remember that we also have opportunities on the buy stock. So we're working actively with a pipeline and we have a clear view to some opportunities. So we're balancing what we do internally, and we're able to throttle that forward or back depending on what's happening on the acquisition side and quite excited about the opportunities in front of us.
Alex Fuhrman: Okay. That's really helpful. And then David, can you expand a little bit on the acquisitions you've made in Apgar Village? I mean, given that Eddie's and the Montana House are adjacent to other properties that you already own there on that very unique, private land within the National Park, does that create new opportunities to build something on the combined property? I'm just curious what you can do with that canvas now that it's all contiguous to your other assets there?
David Barry: Over the past 16, 18 months, there's been some really interesting developments with how Apgar functions as a part of Glacier National Park. So for the summer of 2024, a year ago, the National Park Service moved the entry from the West Glacier area closer to the Lake McDonald Road section. So for those of you that know the destination that basically turned Apgar into an area that was no longer behind the gate, was no longer behind the entry point. And so, with timed entry being managed further down the road, so to speak, what it did was it opened up the ability to visit Apgar for visitors that were perhaps waiting for their timed entry point. So one of the first elements was an increase in traffic. As we looked at opportunities, we had known the owner of Eddie's for a long time. We'd done a terrific renovation, as looking to seek some other opportunities for his investments and wanted to make sure that the location of Eddie's Mercantile was really well set up and well integrated into what exists in Apgar. So that was the first. And Montana House is a long time local with a tremendous connection to history, also very sensitive to legacy and the importance of our commitment to Apgar. So to answer your question in a long-winded way, the answer is yes, it does give us opportunity as these properties are all contiguous. The Apgar location itself is able to welcome visitors before they have to go into their timed entry to drive the Going To The Sun Road and it gives us a great connection at the Eddie's Apgar Lookout Lodging is brand new. It's beautiful, large units, great views. So it's a tremendous location. And then we have obviously the Apgar Cabin Village that has been there for a long time, since 1946 and it's had various iterations. But it's in a tremendous point for a refresh that we've been working on. We're not quite ready yet to tell the world about what our plans are, but we've been actively working on a refresh of Apgar. And I think the combination of those three things really will provide for a great guest experience as well as an improvement in our opportunities to provide different services, whether it be lodging, whether it be food and beverage, retail, et cetera.
Alex Fuhrman: Okay, David, that's really helpful. Thank you. And then if I could ask one last question. Bo, I think you mentioned that, the weaker Canadian dollar is expected to be about a $7 million headwind to EBITDA just from the translation of your Canadian profits into fewer U.S. dollars. Just wondering if you can kind of help us think about the big picture here. I would imagine that, given that so many of your guests are coming from The United States and outside of North America, I would imagine that, there's some upward pressure on the local currency hotel rates that you're seeing. I also imagine, when people are in destination and the dollar is weak, the Canadian dollar is weak, I imagine people are more likely to be splurging on dining and attractions and things like that. So when you put it all together, I mean, would you expect the lower Canadian dollar to be a headwind, given that translation headwind or net net, is it neutral or maybe even positive, given that I imagine this would create more demand for you in Canada?
Bo Heitz: Yes. So as you know, I mean, we factored in from a pure reporting currency perspective the $0.69 assumption for our exchange rate. So that is factored into our guidance at this point. More broadly, there's obviously a lot that can evolve within the macro landscape on this. I do think, as you're alluding to on the positive side, at least what we're seeing currently is that, there is more Canadians traveling domestically right now, which is into the U.S. And from an FX rate perspective, yes, it should be a potential benefit if more U.S. guests who are looking to travel into Canada to take advantage of that cheaper travel experience. So, we'll need to see how that evolves from now, but we at least factor FX component to where we are in our guidance today.
Alex Fuhrman: Okay, great. That's really helpful. Thank you all very much.
David Barry: Alex, I would add one thing to that is, if you look over the history of currency exchange, during periods of time when the Canadian dollar moves lower, and I would say the best comparator is 1999 through 2002, 2003 3 when the Canadian dollar is lower. The tourism economy grows and more visitors from around the world come to Canada because Canada is on sale to the world. So that's a trend that we see that will continue. We expect it to continue into this summer season.
Operator: The next question comes from Tyler Batory with Oppenheimer. You may proceed.
Tyler Batory: Thank you. Good afternoon, everyone. So first question for me, just thinking about the outlook for 2025. On the travel trade side of things, you made some interesting comments that I hadn't heard before about future bookings, holding some inventory, then inventory being released. So can you just explain a little bit more what's going on with the travel trade, what you're seeing within the travel trade business? And then, when you look at the guide this year, are you contemplating much international non U.S. travel trade business coming to Banff Jasper?
David Barry: So, Tyler, I'll start and then welcome my colleagues to jump in. What we see and what we're seeing across Pursuit in all geographies is an increase in demand from our tour and travel partners. It's not specific to one country in the sense that, it's a resurgence of say China or something else, but it's a broad increase in demand. So if you look at, say, the Canadian Rockies as an example, let's start there. We have tour and travel partners that are requesting additional inventory. And so, when we do allocations out, remember, we're a bit like retail where we're two or three seasons in advance. So we're providing space to our partners for 2026. And so, as in the 25, they've got a certain date that they've got to hit and if they don't hit it, then their inventory is released and their deposit et cetera is forfeited and so on. So we manage those things very, very actively on a daily and weekly basis to manage the tightest inventory that we can. So we're seeing expanded demand from tour and travel partners, and it's specific to Jasper, it's specific to Banff, it's specific to Waters & Lakes, Alaska, et cetera. So, our tour and travel partners are all seeing demand from around the world. I would say our demand from The UK into Canada is strong. Our demand from Japan into Canada is strong and a growing market from India. China is returning slowly, more slowly than some of the other markets, but still returning. And so, this isn't anything new, but it is something important that we felt it was important to articulate, how we manage the inventory, because the opportunity for folks to book early, if they're on an itinerary is important, but we also know we have strong consumer direct demand and we have an FIT traveler that may be working through a travel agent or their preferred travel supplier, but they're showing up to us like an individual guest. And then, you also have our regional visitors or visitors that might be staying at a Fairmont property or another property, and then just showing up to us as a day visitor, if that makes sense. And Bo or Ellen, if you have anything to add, by all means, jump in.
Tyler Batory: Okay. That's very helpful, very clear. A housekeeping question on the guidance and maybe this is for Bo or Ellen. So the $98 million to $108 million of EBITDA, does that include or does that exclude corporate expenses? And can you give us any guide rails on, what you're budgeting for corporate expenses in 2025?
Bo Heitz: Yes. So that would be inclusive of corporate expenses, as it always will be going forward. We previously noted last quarter around $12 million or $13 million of corporate costs. I'd say, there's no significant changes from that perspective, but really it's not a metric that I would orient to going forward. Now that we are standalone Pursuit, obviously, we're focused on managing costs broadly, but when we think about corporate costs, it's really about managing SG&A costs broadly in this business. And so, when we looked at that as part of the transition, there's some real efficiencies at the top of the org structure and those are largely offset by some dis-synergies that we alluded to last quarter on the IT side in particular as well as some targeted investments we're making on the technology side. So maybe another angle or lens on this past year FY 2024, we were at approximately 21% margin all in. We'd expect at least, at the midpoint of our guidance to be closer to that 25% margin level for this year. And importantly, given the operating leverage and growth that we're expecting in this business, as that grows over time, we expect continued margin expansion over time.
Tyler Batory: Okay, very good. That was actually the next question I was going to ask. I mean, at the midpoint of the guide, mid-20s EBITDA margin, quite a bit of improvement over the last two years. You were kind of low 20s in both 2024 and 2023. I guess how much of that is kind of driven by the Jasper wildfire recovery? How much is maybe some of the new attractions ramping up? I'm just trying to bucket in my head, just what's contributing to that year-over-year margin improvement?
Bo Heitz: Yes. I mean, we've talked about the Jasper fire impact being about $15 million from an EBITDA perspective. So, yes, when you clearly have an impact like that relatively fixed cost business that has a really strong flow through on the positive side for this year, so there's definitely margin improvement that you're seeing coming out of that. But it is broader than that, as we look across the growth that we're expecting in this business. Again, from a corporate cost and broader SG&A perspective, I don't see you're seeing particular noise one way or the other there, from a materiality perspective, but more of what you're seeing is continued operating leverage in this business.
Tyler Batory: Okay, great. I think the last question for me just on the capital side of things, and I'm really interested on the buy bucket. It sounds like some clear view to some opportunities, you have a pipeline. I guess how comfortable or where would you be comfortable taking leverage if you saw an acquisition? I mean, the balance sheet is in a great place right now. Just trying to get a sense of potentially your investment capacity and, where you'd like or where you would be willing to take leverage if you saw something attractive to buy?
David Barry: Yes. Tyler, we have plenty of capacity and plenty of great opportunities. I think that we will be quite thoughtful in how we structure things, how much that we would take on. But our ability to move clearly now in a direction of growth, with a strong balance sheet and basically 0% net leverage, I think we're in a great position. And Bo jump in.
Bo Heitz: Yes. And on that zero net leverage point, we think about more of the long term on this business, we still think about that 2.5x to 3.5x net leverage target holistically, and leverage to get on the higher end of that for the right opportunity and lever down from there. And then, yes, there's the broader leverage point of this and then the medium-term, we also just have a really strong liquidity position with about $250 million between revolver and cash on hand. So very excited about what we can do with that.
David Barry: And our focus really is on our focus is on new iconic locations with perennial demand and high barriers to entry. And that really is the key that the iconic location strategy, high barriers to entry is really where our energies are being directed.
Operator: Thank you. There are currently no other questions in queue. [Operator Instructions]
David Barry: All right. Given the appropriate pause, I'll thank Ellen one last time. Ellen, thank you so much for everything, and thank you, operator. This concludes our 2024 full year earnings call. Thanks to everyone who joined today, and please feel free to reach out to us should you have any further questions. Have a great afternoon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your line.